Operator: Welcome to the Entravision Communications Corporation fourth quarter and full year 2008 earnings conference call. As a reminder, all participants will be in listen-only mode. There will be an opportunity for you to ask questions at the end of today’s presentation. (Operator instructions) For your information, this conference is being recorded. I would like to turn the conference over to Walter Ulloa, Chairman and Chief Executive Officer. Mr. Ulloa the floor is your sir.
Walter: Thank you, Mike. Good afternoon everyone and welcome to Entravision’s fourth quarter 2008 earnings conference call. Joining me today is Philip Wilkinson, our President and Chief Operating Officer and Chris Young, our Executive Vice President and Chief Financial Officer Before we begin, I must inform you that this conference call will contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ. Please refer to our SEC filings for a list of risks and uncertainties that could impact actual results. In addition, this call is the property of Entravision Communications Corporation. Any redistribution, retransmission or rebroadcast of this call in any form, without the express written consent of Entravision Communications Corporation is strictly prohibited. Also this call will include certain non-GAAP financial measures. The company has provided a reconciliation of these non-GAAP financial measures to their most directly comparable GAAP measures in today’s press release. The press release is available on the company’s website and was filed with the SEC in a Form 8-K. In addition, with the announced sale of the company’s Outdoor Division at March 31, 2008, Outdoor was classified as a discontinued operation and the results of operations are separately reported for all periods. Our fourth quarter results reflect the continuing impact of the global financial crises and recession resulting in an advertising downturn. You will see weakness across our markets as advertisers continue to adjust our marketing budgets to changes in consumers spending. As result we recorded a decline in advertising revenue at our TV and Radio properties. We are continuing to focus on debt reduction and our committed to further reducing our cost and operating as efficiently as possible in order to maximize our cash flows without sacrificing the quality of our content or marketing efforts. Our audience shares remain strong in the nations most density populated and faster growing expanding markets. Our sales teams remain very active and we are aggressively pursuing business. We previously announce a number of cost initiatives which are on track and expected to lower operating cost by $11million in 2009 versus 2008. We continue to take a prudent approach to expenses and additional actions are under review. Turning to our financial results for the quarter, our consolidated fourth quarter revenues fell 16% versus the same period in 2007 to $52.8; consolidated adjusted EBITDA decrease 37% of $30.9 million versus last year. While free cash flow per share decrease 73% during the quarter we benefited from $4.7 million of political revenue. For the full year 2008 consolidated revenue fell 7% versus 2007 to $232.3 million. Consolidated adjusted EDBITDA decreased 19% to $74.1versus last year. Free cash flow per share decrease 47%. In 2008 we generate 8.2 million of political revenue versus 6.4 million in 2004 a 28% increase in this important category. Turning to our television segment; revenue decrease 15% in the fourth quarter versus the prior year period. Local and national revenue fell 20% and 9% respectively. The decrease is primarily attributable to softness in the retail and fast food categories and the unprecedented declines within the automotive segment. The retail category was significantly affected by the Mervyn’s liquidation announcement and a shift in priority market from CBS pharmacy and Macy’s. The fast food decline was a result of significant budget cuts at Sonic Drive-Ins, Olive Garden and KFC restaurants. Automotive dipped 54% in the fourth quarter 2008 as U.S. sales figures continue to make national headlines with historic decreases among all major brands, General Motors and Dodge, Chrysler, Jeep led the way inters of declining name plate revenues for Entravision, partially offsetting these were increases in healthcare and media categories and 3.4 million in political television revenue in the fourth quarter. With the full year television revenue decrease 7% with local loss 6% and national down 7%. Our strongest categories for the year included services, healthcare and grocery convenient stores while retail, fast food and automotive were down. Automotive declined 32% in 2008. We recorded a record $6.1 million in television political revenue for the year, driven by a very active primary and presidential election cycle and a proactive political parity by our sales groups. The increase focus on the Hispanic voter that we have seen goes well for future political cycles. Our sales and marketing teams remained focused on new account development and growth categories, these efforts are designed to diversify our client and revenue base and help effect or offset the impact of auto. In the fourth quarter 34 new clients advertise with our television division spending over $10,000 each and for the full year we have 242 new clients spending over 10,000 with our TV properties. Turning to our recent ratings performance, our Univision Affiliates continued their dominant performance in the November 2008 suite. Our Univision Affiliates were ranking number one or two sign under sign off in 18 to 34 regardless of language in eight markets and our TeleFutura Affiliates extended their strong performance. The team of TeleFutura’s a great role in the political process this year and will increase there influence going forward and our coverage of the presidential campaign last year was critical to our success in new outlet. Our coverage of the 2008 presidential election returns on November 4 was viewed by a combined average audience of 370,000 persons. The 2004 presidential election was outside of the November survey, but a comparison of TV household audience figures in the media market shows our election night coverage of 26% over 2004 coverage. Year-over-year 13 of our local news market stations were either number one or two in adults 18 to 34 regardless of language. Our Washington D.C. affiliates enjoyed a 150% growth in this local news product. Taken a look at national news, 13 of our affiliates rank number one or two with adults 18 to 34 regardless of language. TeleFutura continues to be the second most watch Spanish language station right behind our Univision Affiliates and the majority of our markets. Before turning to radio, I want to note that Univision entered into a retransmission agreement with Comcast in early January. As many of you know we have partnering with Univision in regards to the negotiation of retransmission agreements for our affiliates. The agreement with Comcast was a multiyear year agreement there was mutually beneficial to all of the parties and the communities we serve. Comcast provides television and other services in 13 of our television markets. Our radio division also had a soft quarter as revenues decreased 16%. National revenue was up 1% while local revenue declined 22%. Monthly revenues weakened, as we move through the quarter inline with the entire radio industry. We saw growth in four of our top ten categories, with healthcare increasing by 6% while financial and grocery we saw a 1% increase and political saw a huge increase, but these could not offset the decreases we experienced. Retail advertising decreased 25%, travel and leisure was down 14% and automotive fell 54%. With this full year revenues decreased 8%, with national up 3% and local down 12%. Once again our revenue performance top performed the industry for the year by one basis point according to the radio advertising bureau. Overall for the year we saw a growth in fast food restaurants which saw a 6% increase and alcoholic beverages were up 3%. However, we did see declines in automotive of 34%, service were down 3%, travel and leisure down 10% and retail down to 24%. We had a very successful political season of revenue $1.2 million for the quarter and slightly less than $2 million for the full year. This is an increase of 220% for fourth quarter over the 2004 presidential elections and a 157% increase for the year. This exceeded our internal expectations, as we benefited from operating radio stations in a number of battleground states including Nevada, New Mexico, Colorado and Florida. In the quarter we added 14 new advertisers who spend more than $10,000 and for the year we brought in 91 new advertisers who spend over 10,000 with our radio properties. New clients including Molina Healthcare, Target, We Are America Alliance, [Celebrity Nissan], Direct and State Farm. Overall we are pleased with the ratings performance of our stations in the quarter. We generated ratings growth in number of markets and across several format. In our key demo, adults 18 to 34 in an average quarter hour persons. We saw the combined ratings of our radio group increase 17% year-over-year and a 6% increase in fall 2008 versus the summer in 2008 survey. Piolin por la Manana continues to perform well for us. Piolin, is a number one ranked morning show regardless of language in Denver, Stockton and Palm Springs among adults 18 to 34, Piolin is the highest ratings of our Spanish-language morning show in Reno and Sacramento among adults 18 to34. We are very pleased with the growth of our Jose format because of the success we added the Jose format in seven additional markets early this year. We added Jose on FM stations in Denver, Sacramento, Las Vegas, El Centro, Yuma, Salinas, Palm Springs and Modesto. Overall our Jose stations combined are up 36% year-over-year and 21% book-over-book in average audience among adults 18 to 34. In Dairy only markets a year-over-year growth is even larger, up 67%. We extremely proud of the success Phoenix KVBA, we changed the format on KVBA to Jose on September 15 and just one complete rating period. The station increased by 325% from 1.2 shares to a 5.1 share for the total week in adults 18 to 34. We are confident that we will see the same rating success we saw in Phoenix on our seven new Jose stations. The Jose format now is 13 of our radio markets. Los Angeles remains a very competitive market and our October 6. Arbitron changed the audience measurement currency in LA to PPM. Our Los Angeles Spanish cluster continues to fair better than our Spanish-language competitors with the conversion to PPM. Our fourth quarter radiance were lease effected by the conversion to PPM, in almost all cases the radiance of our Spanish-language competitors among adults 18 to 34 were down as much as 50%, since the conversion in LA to the PPM methodology were as our Spanish-language radio cluster has only loss of 1/10 of rating point. With the conversion in early May of our KLYY and LA to our hugely successful Jose format we saw substantial growth immediately with our weekly cume increasing 266% for both versus 12 plus and adults 18 to 34 and LA data release. Within our core demo adults 18 to 34 we have seen steady performance of KLYY to the January rating release with 2.6 year, which is well about the performance we saw prior to the format switch. This year on January 17, we convert of our 103.1 signals in LA to our new and existing El Gato format. El Gato is a useful, energetic, rhythmic regional Mexican format applying to adults 18 to 34. Initial PPM radiance for this format are higher than anticipated, up 450% in adult 18 to 34, after only 2 and 1.5 weeks on the year, compared to the average of the seven month prior ratings for the ND format. In the final weak of the January book El Gato beat KSCA and KL in Latino adult 18 to 34. With a combination of El Gato, Jose and our dominant pop rock Spanish format in LA we are know well position for future ratings and revenue growth in the nations number one Hispanic market. Carl Maier, an Excellent Media Executive in his team is aggressively marketing these new ratings information to LA advertisers. On February 3, we launched another new format in Stockton the Modesto. The new format is called Maria, it is one the appeals to Hispanic Woman 18 to 49 playing primarily romantic balance. The format is all music with DJs. We believe we fill the void with the new format as there is noting like it on radio. Stockton the Modesto is natural for the review of the format given that 42% of Modesto Woman 18 to 49 population in Hispanic and 38% of Stockton Woman 18 to 49 is a Hispanic. Moving into our Interactive Division, Entravision interactive is an important part of our long term growth strategy. We are leveraging the mass reach of broadcast properties to drive traffic to our online and mobile platform. We began building our interactive digital platforms early last year and I’m pleased to announce that we ended the year having constructed 66 local website to integrate with an extend the reach of our television and radio properties as well as launch of our mobile initiative. We have branded this existing concept as Entravision 360 degree integrated opportunity for advertisers they want to reach Latino consumers. We offer local, regional and national advertisers, industry standard units on our website, like display advertising, reach media, videos spree and post rolls, overlays, channels sponsorships, audience engagement programs, in stream adverting for our radio business, a download music store, discounts certificate programs, database email marketing, and mobile advertising and promotion opportunities. In June we have highbred [Stephen Lopz Lako] to head our interactive division. We also hired Amanda Witherow, as Vice President of Local Interactive Sales and Belinda Padilla as Vice President of all National and Mobile Sales for our Interactive platforms. These three executives are highly trained and skilled in digital media. In additional we have designated interactive local sales specialist in almost every one of our markets as well as national interactive sales specialist at the national sales from LER and we’re calling with our partner Lotus Communications. We train our interactive sales specialist on a continuing basis. We started selling our interactive platform to advertisers mid 2008 and by the end of the year we had generated over $465,000 in incremental revenue. Our interactive sales goal for 2009 is $3 million. We are well underway to achieving this ambitious goal. Earlier this year at the time we converted the 103.1 FM signals to the Elgato Mexican regional format, we made the decision to offer our cutting edge popular and innovative Indie radio programming on an exclusive basis to our Indie online listeners. Our Indie online listeners shift has gone over a 150% since that change, in fact Indie 1031.com is the second most search site on Google, which when looking for the key work Indie. We clearly see Indie 103.1.com as a platform for innovation, research and development for our streaming radio model. We are also pleased to announce Indie 103.1.com is projected to breakeven this quarter. We believe mobile phones and 3G networks provide great opportunities for the growth of our streaming television and radio content. In 2008 we developed our first iPhone application for streaming our television radio content everywhere. U.S. Latinos over index general market consumers in the use of mobile and data devices. Some 71% of the Latino consumers consume content on their mobile devices compared with market average of 48% according to comp score metric. We continue to see a significant increase in advertising interest wanting to reach Latino consumers through our mobile platform and we’re build in expertise in this area, in fact our Entravision 360 degree integrated marketing approach, allows us to capture consumers in the new ways that they interact media. Advertisers are seeking for ways to directly interact with the Latino consumer. Our broadcast properties allow us to reach out to Latino consumers and our interactive platforms particularly mobile allow us to talk directly with our community on behalf of our advertisers and in a more personal way. An example of our successful so far is what we recently accomplished for the advertiser of [Novama] manufacturer of the Mexican soft drink Jarritos. This brand committed over a $100,000 to 360 degree marketing initiative. Last year we spend only $10,000 with our broadcast properties. This year we presented our 360 degree plan, which included our online and mobile platform, as well as our broadcast properties. About one third of the commitment is directed at the mobile advertising campaign and the balance of the commitment will consist a promotion and advertising on broadcast and online to support the mobile campaign. So, this is what the future looks like, direct interaction with the consumer with the mobile devices supported by promotion and brand awareness to their reach of our broadcast properties and online website. In conclusion the operating environment is clearly challenging, however we are proactively managing our business. We are continuing to focus on debt reduction and are committed to further reducing our cost and operating as efficiently as possible in order to maximize our cash flows. Our audience shares remain strong in the nations most densely populated and that fastest growing Hispanic markets. Our sales teams remain very active and are aggressively pursuing new business as well as increasing existing business and we are particularly excited and confident about the ability of our interactive platform to directly market to the Latino community. With regard to the pacing for the first quarter to mid February, we have seen a continuation of the weakness we experienced in the fourth quarter of 2008. That ends my remarks. I’ll now turn the call over to Christy Young, our Chief Financial Officer, for a review of our financials.
Ulloa: Thank you, Mike. Good afternoon everyone and welcome to Entravision’s fourth quarter 2008 earnings conference call. Joining me today is Philip Wilkinson, our President and Chief Operating Officer and Chris Young, our Executive Vice President and Chief Financial Officer Before we begin, I must inform you that this conference call will contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ. Please refer to our SEC filings for a list of risks and uncertainties that could impact actual results. In addition, this call is the property of Entravision Communications Corporation. Any redistribution, retransmission or rebroadcast of this call in any form, without the express written consent of Entravision Communications Corporation is strictly prohibited. Also this call will include certain non-GAAP financial measures. The company has provided a reconciliation of these non-GAAP financial measures to their most directly comparable GAAP measures in today’s press release. The press release is available on the company’s website and was filed with the SEC in a Form 8-K. In addition, with the announced sale of the company’s Outdoor Division at March 31, 2008, Outdoor was classified as a discontinued operation and the results of operations are separately reported for all periods. Our fourth quarter results reflect the continuing impact of the global financial crises and recession resulting in an advertising downturn. You will see weakness across our markets as advertisers continue to adjust our marketing budgets to changes in consumers spending. As result we recorded a decline in advertising revenue at our TV and Radio properties. We are continuing to focus on debt reduction and our committed to further reducing our cost and operating as efficiently as possible in order to maximize our cash flows without sacrificing the quality of our content or marketing efforts. Our audience shares remain strong in the nations most density populated and faster growing expanding markets. Our sales teams remain very active and we are aggressively pursuing business. We previously announce a number of cost initiatives which are on track and expected to lower operating cost by $11million in 2009 versus 2008. We continue to take a prudent approach to expenses and additional actions are under review. Turning to our financial results for the quarter, our consolidated fourth quarter revenues fell 16% versus the same period in 2007 to $52.8; consolidated adjusted EBITDA decrease 37% of $30.9 million versus last year. While free cash flow per share decrease 73% during the quarter we benefited from $4.7 million of political revenue. For the full year 2008 consolidated revenue fell 7% versus 2007 to $232.3 million. Consolidated adjusted EDBITDA decreased 19% to $74.1versus last year. Free cash flow per share decrease 47%. In 2008 we generate 8.2 million of political revenue versus 6.4 million in 2004 a 28% increase in this important category. Turning to our television segment; revenue decrease 15% in the fourth quarter versus the prior year period. Local and national revenue fell 20% and 9% respectively. The decrease is primarily attributable to softness in the retail and fast food categories and the unprecedented declines within the automotive segment. The retail category was significantly affected by the Mervyn’s liquidation announcement and a shift in priority market from CBS pharmacy and Macy’s. The fast food decline was a result of significant budget cuts at Sonic Drive-Ins, Olive Garden and KFC restaurants. Automotive dipped 54% in the fourth quarter 2008 as U.S. sales figures continue to make national headlines with historic decreases among all major brands, General Motors and Dodge, Chrysler, Jeep led the way inters of declining name plate revenues for Entravision, partially offsetting these were increases in healthcare and media categories and 3.4 million in political television revenue in the fourth quarter. With the full year television revenue decrease 7% with local loss 6% and national down 7%. Our strongest categories for the year included services, healthcare and grocery convenient stores while retail, fast food and automotive were down. Automotive declined 32% in 2008. We recorded a record $6.1 million in television political revenue for the year, driven by a very active primary and presidential election cycle and a proactive political parity by our sales groups. The increase focus on the Hispanic voter that we have seen goes well for future political cycles. Our sales and marketing teams remained focused on new account development and growth categories, these efforts are designed to diversify our client and revenue base and help effect or offset the impact of auto. In the fourth quarter 34 new clients advertise with our television division spending over $10,000 each and for the full year we have 242 new clients spending over 10,000 with our TV properties. Turning to our recent ratings performance, our Univision Affiliates continued their dominant performance in the November 2008 suite. Our Univision Affiliates were ranking number one or two sign under sign off in 18 to 34 regardless of language in eight markets and our TeleFutura Affiliates extended their strong performance. The team of TeleFutura’s a great role in the political process this year and will increase there influence going forward and our coverage of the presidential campaign last year was critical to our success in new outlet. Our coverage of the 2008 presidential election returns on November 4 was viewed by a combined average audience of 370,000 persons. The 2004 presidential election was outside of the November survey, but a comparison of TV household audience figures in the media market shows our election night coverage of 26% over 2004 coverage. Year-over-year 13 of our local news market stations were either number one or two in adults 18 to 34 regardless of language. Our Washington D.C. affiliates enjoyed a 150% growth in this local news product. Taken a look at national news, 13 of our affiliates rank number one or two with adults 18 to 34 regardless of language. TeleFutura continues to be the second most watch Spanish language station right behind our Univision Affiliates and the majority of our markets. Before turning to radio, I want to note that Univision entered into a retransmission agreement with Comcast in early January. As many of you know we have partnering with Univision in regards to the negotiation of retransmission agreements for our affiliates. The agreement with Comcast was a multiyear year agreement there was mutually beneficial to all of the parties and the communities we serve. Comcast provides television and other services in 13 of our television markets. Our radio division also had a soft quarter as revenues decreased 16%. National revenue was up 1% while local revenue declined 22%. Monthly revenues weakened, as we move through the quarter inline with the entire radio industry. We saw growth in four of our top ten categories, with healthcare increasing by 6% while financial and grocery we saw a 1% increase and political saw a huge increase, but these could not offset the decreases we experienced. Retail advertising decreased 25%, travel and leisure was down 14% and automotive fell 54%. With this full year revenues decreased 8%, with national up 3% and local down 12%. Once again our revenue performance top performed the industry for the year by one basis point according to the radio advertising bureau. Overall for the year we saw a growth in fast food restaurants which saw a 6% increase and alcoholic beverages were up 3%. However, we did see declines in automotive of 34%, service were down 3%, travel and leisure down 10% and retail down to 24%. We had a very successful political season of revenue $1.2 million for the quarter and slightly less than $2 million for the full year. This is an increase of 220% for fourth quarter over the 2004 presidential elections and a 157% increase for the year. This exceeded our internal expectations, as we benefited from operating radio stations in a number of battleground states including Nevada, New Mexico, Colorado and Florida. In the quarter we added 14 new advertisers who spend more than $10,000 and for the year we brought in 91 new advertisers who spend over 10,000 with our radio properties. New clients including Molina Healthcare, Target, We Are America Alliance, [Celebrity Nissan], Direct and State Farm. Overall we are pleased with the ratings performance of our stations in the quarter. We generated ratings growth in number of markets and across several format. In our key demo, adults 18 to 34 in an average quarter hour persons. We saw the combined ratings of our radio group increase 17% year-over-year and a 6% increase in fall 2008 versus the summer in 2008 survey. Piolin por la Manana continues to perform well for us. Piolin, is a number one ranked morning show regardless of language in Denver, Stockton and Palm Springs among adults 18 to 34, Piolin is the highest ratings of our Spanish-language morning show in Reno and Sacramento among adults 18 to34. We are very pleased with the growth of our Jose format because of the success we added the Jose format in seven additional markets early this year. We added Jose on FM stations in Denver, Sacramento, Las Vegas, El Centro, Yuma, Salinas, Palm Springs and Modesto. Overall our Jose stations combined are up 36% year-over-year and 21% book-over-book in average audience among adults 18 to 34. In Dairy only markets a year-over-year growth is even larger, up 67%. We extremely proud of the success Phoenix KVBA, we changed the format on KVBA to Jose on September 15 and just one complete rating period. The station increased by 325% from 1.2 shares to a 5.1 share for the total week in adults 18 to 34. We are confident that we will see the same rating success we saw in Phoenix on our seven new Jose stations. The Jose format now is 13 of our radio markets. Los Angeles remains a very competitive market and our October 6. Arbitron changed the audience measurement currency in LA to PPM. Our Los Angeles Spanish cluster continues to fair better than our Spanish-language competitors with the conversion to PPM. Our fourth quarter radiance were lease effected by the conversion to PPM, in almost all cases the radiance of our Spanish-language competitors among adults 18 to 34 were down as much as 50%, since the conversion in LA to the PPM methodology were as our Spanish-language radio cluster has only loss of 1/10 of rating point. With the conversion in early May of our KLYY and LA to our hugely successful Jose format we saw substantial growth immediately with our weekly cume increasing 266% for both versus 12 plus and adults 18 to 34 and LA data release. Within our core demo adults 18 to 34 we have seen steady performance of KLYY to the January rating release with 2.6 year, which is well about the performance we saw prior to the format switch. This year on January 17, we convert of our 103.1 signals in LA to our new and existing El Gato format. El Gato is a useful, energetic, rhythmic regional Mexican format applying to adults 18 to 34. Initial PPM radiance for this format are higher than anticipated, up 450% in adult 18 to 34, after only 2 and 1.5 weeks on the year, compared to the average of the seven month prior ratings for the ND format. In the final weak of the January book El Gato beat KSCA and KL in Latino adult 18 to 34. With a combination of El Gato, Jose and our dominant pop rock Spanish format in LA we are know well position for future ratings and revenue growth in the nations number one Hispanic market. Carl Maier, an Excellent Media Executive in his team is aggressively marketing these new ratings information to LA advertisers. On February 3, we launched another new format in Stockton the Modesto. The new format is called Maria, it is one the appeals to Hispanic Woman 18 to 49 playing primarily romantic balance. The format is all music with DJs. We believe we fill the void with the new format as there is noting like it on radio. Stockton the Modesto is natural for the review of the format given that 42% of Modesto Woman 18 to 49 population in Hispanic and 38% of Stockton Woman 18 to 49 is a Hispanic. Moving into our Interactive Division, Entravision interactive is an important part of our long term growth strategy. We are leveraging the mass reach of broadcast properties to drive traffic to our online and mobile platform. We began building our interactive digital platforms early last year and I’m pleased to announce that we ended the year having constructed 66 local website to integrate with an extend the reach of our television and radio properties as well as launch of our mobile initiative. We have branded this existing concept as Entravision 360 degree integrated opportunity for advertisers they want to reach Latino consumers. We offer local, regional and national advertisers, industry standard units on our website, like display advertising, reach media, videos spree and post rolls, overlays, channels sponsorships, audience engagement programs, in stream adverting for our radio business, a download music store, discounts certificate programs, database email marketing, and mobile advertising and promotion opportunities. In June we have highbred [Stephen Lopz Lako] to head our interactive division. We also hired Amanda Witherow, as Vice President of Local Interactive Sales and Belinda Padilla as Vice President of all National and Mobile Sales for our Interactive platforms. These three executives are highly trained and skilled in digital media. In additional we have designated interactive local sales specialist in almost every one of our markets as well as national interactive sales specialist at the national sales from LER and we’re calling with our partner Lotus Communications. We train our interactive sales specialist on a continuing basis. We started selling our interactive platform to advertisers mid 2008 and by the end of the year we had generated over $465,000 in incremental revenue. Our interactive sales goal for 2009 is $3 million. We are well underway to achieving this ambitious goal. Earlier this year at the time we converted the 103.1 FM signals to the Elgato Mexican regional format, we made the decision to offer our cutting edge popular and innovative Indie radio programming on an exclusive basis to our Indie online listeners. Our Indie online listeners shift has gone over a 150% since that change, in fact Indie 1031.com is the second most search site on Google, which when looking for the key work Indie. We clearly see Indie 103.1.com as a platform for innovation, research and development for our streaming radio model. We are also pleased to announce Indie 103.1.com is projected to breakeven this quarter. We believe mobile phones and 3G networks provide great opportunities for the growth of our streaming television and radio content. In 2008 we developed our first iPhone application for streaming our television radio content everywhere. U.S. Latinos over index general market consumers in the use of mobile and data devices. Some 71% of the Latino consumers consume content on their mobile devices compared with market average of 48% according to comp score metric. We continue to see a significant increase in advertising interest wanting to reach Latino consumers through our mobile platform and we’re build in expertise in this area, in fact our Entravision 360 degree integrated marketing approach, allows us to capture consumers in the new ways that they interact media. Advertisers are seeking for ways to directly interact with the Latino consumer. Our broadcast properties allow us to reach out to Latino consumers and our interactive platforms particularly mobile allow us to talk directly with our community on behalf of our advertisers and in a more personal way. An example of our successful so far is what we recently accomplished for the advertiser of [Novama] manufacturer of the Mexican soft drink Jarritos. This brand committed over a $100,000 to 360 degree marketing initiative. Last year we spend only $10,000 with our broadcast properties. This year we presented our 360 degree plan, which included our online and mobile platform, as well as our broadcast properties. About one third of the commitment is directed at the mobile advertising campaign and the balance of the commitment will consist a promotion and advertising on broadcast and online to support the mobile campaign. So, this is what the future looks like, direct interaction with the consumer with the mobile devices supported by promotion and brand awareness to their reach of our broadcast properties and online website. In conclusion the operating environment is clearly challenging, however we are proactively managing our business. We are continuing to focus on debt reduction and are committed to further reducing our cost and operating as efficiently as possible in order to maximize our cash flows. Our audience shares remain strong in the nations most densely populated and that fastest growing Hispanic markets. Our sales teams remain very active and are aggressively pursuing new business as well as increasing existing business and we are particularly excited and confident about the ability of our interactive platform to directly market to the Latino community. With regard to the pacing for the first quarter to mid February, we have seen a continuation of the weakness we experienced in the fourth quarter of 2008. That ends my remarks. I’ll now turn the call over to Christy Young, our Chief Financial Officer, for a review of our financials.
Christy Young: Thank you Walter and good afternoon everyone. The company sold the Outdoor Advertising business in May 2008 to Lamar Advertising from $101.5 million including an adjustment for working capital and no longer has our Outdoor operations. In accordance with FAS 144, accounting for the impairment or disposal of long-lived assets, the company reported the results of the outdoor operations and discontinued operations within the consolidated statements of operations. As the outdoor unit has been included in discontinued operations, the following results do not include the outdoor segment. As Walter discussed, net revenue for the quarter was $52.8 million, down 16%. Operating expenses decreased $0.9 million to $35.2 million and consolidated adjusted EBITDA decreased 37% to $13.9 million. Free cash flow, which we define as consolidated adjusted EBITDA minus capital expenditures expenditures, cash interest, cash taxes plus interest income was $0.04 per share. Net revenue for the year was $232.3 million down 7%. Operating expenses increased $0.6 million to $144.5 million and consolidated adjusted EBITDA decreased 19% to $74.1 million. Free cash flow, which we defined as consolidated adjusted EBITDA minus capital expenditures, cash interest and cash taxes plus interest income was $0.29 per share. Operating expenses for the quarter decreased to $35.2 million from $36.1 million, a decrease of $0.9 million or 2.5%. The decrease was primarily attributable to a decrease in expenses associated with the decrease in revenue. Operating expenses for the year increased to $144.5 million from $143.9 million, an increase of $0.6 million. The increase was primarily attributable to the expenses associated with the expansion of our radio division in Orlando, an increase in rating services and an increase in rent and utility expense or partially offset by a decrease in expenses associated with the decrease in revenue. Corporate expenses for the quarter decreased to $4.4 million from $4.7 million, a decrease of $0.3 million. Corporate expenses for the year decreased to $17.1 million from $17.4 million, decrease of $0.3 million. The decrease was attributable to the elimination of bonuses paid to executive officers. In the fourth quarter of 2008, the company recorded an impairment charge of $170 million primarily related to TV and radio FCC broadcasting licenses and goodwill, as a result of an appraisal recently conducted on certain TV and radio assets. For the year, the company recorded an impairment charge of $610 million primarily related to TV and radio FCC broadcasting licenses and goodwill. The write down was pursuant to FAS 142, goodwill and other intangible assets which require goodwill and certain intangible assets be tested for impairment at least annually or more frequently if events or changes in circumstances to indicate the assets that might be impaired. As Walter mentioned earlier, the company continues to execute cost cutting measures to better position itself for a difficult business environments. As a result, annual fixed expense are now expected to be reduced by approximately $11 million beginning January 2009, budgeted capital expenditures for 2009 have also been reduced to $4 million to $5 million. We will continue to evaluate additional cost cutting measures in 2009. Free cash in the fourth quarter of 2008 was $3.5 million or $0.04 per share. For the full year, free cash flow was $26.6 million or $0.29 per share. EPS for the fourth quarter of 2008 applicable to common stockholders was negative $1.58 per share, compared to an EPS applicable to common stockholders of negative $0.48 per share in the fourth quarter of 2007. EPS for the year applicable to common stockholders was negative $5.39 per share compared to an EPS applicable to common stockholders of negative $0.42 per share for 2007. Turning to our balance sheet, as of December 31, 2008 our total debt was $406.5 million and our trailing 12 month EBITDA as adjusted was $74.1 million. Our net debt-to-EBITDA as adjusted was 4.6 times. Total senior leverage as defined in our current credit agreement was 5.22 times versus a covenant cap of 5.25 times of 12/ 31/08. Cash on the books was $64.3 million at 12/31/08. The company also announced that it repurchased 3.3 million shares of Class A common stock for approximately $4.2 million in the fourth quarter of 2008. The company’s Board of Directors authorized to retire all treasury stock repurchased as of December 31, 2008. Accordingly a total of 14.1 million treasury shares were retired on December 31, 2008. The company also announced that it repurchased an additional 360,000 shares of Class A common stock for approximately 528,000 as of January 31, 2009. As of January 12, 2009 the company has started repurchasing its shares. This concludes our formal remarks. Walter, Philip and I will be happy to take your questions. Mike.
Operator: (Operator Instructions) Your first question comes from Marci Ryvicker - Wachovia Wells Fargo.
Marci Ryvicker - Wachovia Wells Fargo: Thank you. You are awfully close to your debt covenant, so are you, I guess how are you dealing with this are you in discussions with your lenders and are there any maturities coming due in the next two years?
Walter Ulloa: Marci, we don’t have any maturities in the near-term with respect to our credit agreements. We have proactively been engaged in the conversation with our banks in a productive conversation and that’s all we really can comment about that at this time.
Marci Ryvicker - Wachovia Wells Fargo: Okay and then, is the Comcast the largest MSO in your markets?
Chris Young: The largest MSO, yes.
Marci Ryvicker - Wachovia Wells Fargo: Okay, is the Time Warner the next largest?
Chris Young: That’s correct.
Marci Ryvicker - Wachovia Wells Fargo: Can you comment on any type of arrangement of you’ve had with Univision as they negotiate with you?
Chris Young: No, we can’t, but as I said, the arrangement that Univision transacted with Comcast on our behalf is mutually beneficial to Univision, Comcast and Entravision.
Marci Ryvicker - Wachovia Wells Fargo: Okay and then the last question is where is the interactive segment in your P&L?
Chris Young: Marci, it’s in radio. It’s not a separate class that is a separate business reporting segment, but the internet activities are within the radio segment.
Marci Ryvicker - Wachovia Wells Fargo: Are you going to break that out next year to sounds like it’s giving pretty more significant?
Chris Young: As it becomes more significant, we will visit the issues, but there are no plans and you may return to begin breaking it out on a segment basis.
Operator: Your next question comes from James Dix - Wedbush Morgan.
James Dix - Wedbush Morgan: Good afternoon, gentlemen. I guess three questions, first just following up a little bit more on the debt and any update as to open market repurchases you’ve made of debt like how much face value you have purchased to-date and for what sum and is there any further or did you have to do anymore of that? Second, how is Hispanic consumer spending on holding up in your markets? I mean, do you have a sense that you’re holding share versus your general market tiers as you’re going into this year or you losing share or just any insight you have into that? I guess finally, is there any way to mentioning the potential for further operating expense to cuts even beyond $11 million or so that you detailed?
Chris Young: Sure, this is Chris. With respect to the debt repurchase activity back in the fourth quarter of last year, we got an amendment of back group to go-ahead and purchase up to $75 million. In the secondary market, we’ve repurchased $66.5 million, of that $75 million capacity at an average price of about $0.77. So there is a bit more availability and kind where thing stands and we have to until 12/31/09 to execute the rest.
Walter Ulloa: As for expense cuts James so, we continue to look at, where we can cut, I would that’s a topic that we are in discussions about as a group on our weekly basis and constantly monitoring all of our operations and seeing where we can make additional cuts.
James Dix - Wedbush Morgan: The $11 million or so, how much is that related to headcount versus other things? I know you’ve talked about --
Chris Young: Just gave you an example, we’ve give you some information about the cuts. We trimmed our workforce by about 10% since last year. We made these cuts in the fourth quarter in November and towards end of the year.
James Dix - Wedbush Morgan: So, we do expect $11 million, that’s currently layered into the – come in evenly over the course of the year?
Chris Young: Yes, there will be a slightly less amounts in first quarter due the terming of the cuts. Basically, I would apply we’ll call about $3.3 million in queues from the second quarter on and maybe $3 million in the first quarter.
James Dix - Wedbush Morgan: Okay and I guess, it’s my last one was just…
Philip Wilkinson: Hey, James its Philip. I think there was a question about how we are holding up with general market competitors or the industry. I think that was your question, first of all better remember that the Hispanic market continued to growing five to seven times non-Hispanic market and are non-Hispanic population growth and I think that’s going to continued to be big part of driver in the future. Second, I think if you look at geographical areas that have been hit the hardest by the economic slowdown and where we operate stations for example in LA, Southern California or Northern California or Arizona Phoenix has been hit very hard as well as Nevada and few of the parts of the country, but this is where the housing crisis and the unemployment seems to be the worse. If we look at those markets we are paralleling in the other broadcasts of the market, we’re hit just as hard in those markets, but when you look at other parts of the country, where we operate like South Texas, Boston, Hartford and West Texas even parts of Florida and we look at the total market revenue were we ended up year-over-year or ’08 year over versus ’07 we’re outperforming the market, we have continued to outperforming the market. I think when this economy turns around and improves, it will become very evident that the Hispanic media will continue to outperform the general market. We adjusted a quick estimate yesterday and lifted out the power ratios and pulled the top 10 TV markets and pulled the radio markets and there is easily $80 million of revenue upside that we will real realize and we’ve receive a fresh share of the revenue equal to that as of the audience shares. So, as also if you X out the political which we did in political last year, but it still no we’re in the year what we believe we should be doing and that’s hundreds of millions of dollars in political spent in this country in television, but we’ve X out the political. We look at a market like Los Vegas which is just really got and hit hard with the housing market and our TV station if X out political again, we outperform the market by almost 500 basis points, so we’re down but not nearly as much as the other stations and our general market counted parts So, I think we go lot of upside, I think we still outperform in many, many markets, but were it’s been the toughest, toughest in terms of economy, we’re right there sub-step with the other broadcasters in the market.
James Dix - Wedbush Morgan: Would you say, if you X out political you are still outperforming a little in TV, I mean cost call of the market first?
Philip Wilkinson: We are finished in TV, X political, according to TVB minus in terms of the full year and TVB is got X political for the country, the industry TV, the industry at minus 13, so its three points ahead.
James Dix - Wedbush Morgan: I just had one follow-up if I might, I’ve been hearing that network in Spanish language is doing a little bit better than the spot TV. Is that you’re impression as well, if so what do you think that might be the case?
Walter Ulloa: Yes, because you are still question through the up front from last May which is the commitments are for Q4, Q1, Q2 and Q3, so you’ve got the season ’08, ’09 season that was, most of our purchase commitments for up front and yes they have cancellations and penalties, but that’s the reason. They laid that in before, any of this began to hit as you recall we start seeing this after September and by October we were into it pretty deeply.
Operator: (Operator Instructions) Your next question comes from David Miller - Caris & Company.
David Miller - Caris & Company: Hi, good afternoon. Could you guys give us any sort of update on where you stand with the delisting notice that you got from the New York Stock Exchange. I believe that came in October, if I not mistaken, I could be wrong on that. Are you considering any sort of reverse split and if not what other alternatives might you be considering to remaining in compliance with your requirements? Thanks very much.
Philip Wilkinson: Yes, David we got out notice actually in December and we have until June to remedy the scenario. We’ve submitted the responses back with the New York Stock Exchange basically communicating are intention to remedy it at that point and that’s kind of where things stands so. There are host of options you can imagine all of them traditional that we have at our fingertips with respect to remedying the situation. They’ve been reports out there that New York Stock Exchange is contemplating easing that dollar price restriction for listing the requirement, so that we’re obviously I’m carefully, but that’s we’re the situation stands.
Operator: Mr. Ulloa, gentlemen we shall no further questions at this time.
Walter Ulloa: Thank you Mike and thanks to everyone for participating in our fourth quarter 2008 investor conference call. We look forward to reporting to all of you, in May of 2009 our first quarter results. Thank you.
Operator: Yes, thank you. Thank you all for participating in the Entravision Communications Corporation conference call. This concludes today’s event.